Operator: Good day, everyone and welcome to the FARO Technologies Fourth Quarter and Year End 2022 Earnings Call. For opening remarks and introductions, I will now turn the call over to Michael Funari at Sapphire Investor Relations. Please go ahead.
Michael Funari: Thank you and good afternoon. With me today from FARO are Michael Burger, Chief Executive Officer and Allen Muhich, Chief Financial Officer. Today, after market close, the company released its financial results for the fourth quarter and full year of 2022. The related press release and Form 10-K are available on FARO’s website at www.faro.com. Please note, certain statements in this conference call, which are not historical facts, maybe considered forward-looking statements that involve risks and uncertainties, some of which are beyond our control and include statements regarding future business results, product and technology development, customer demand, inventory levels, our outlook and financial guidance, economic and industry projections or subsequent events. Various factors could cause actual results to differ materially. For a more detailed description of these and other risks and uncertainties, please refer to today’s press release and our annual and quarterly SEC filings. Forward-looking statements reflect our views only as of today, and except as required by law, we undertake no obligation to update or revise them. During today’s conference call, management will discuss certain financial measures that are not presented in accordance with U.S. Generally Accepted Accounting Principles, or non-GAAP financial measures. In the press release, you will find additional disclosures regarding these non-GAAP measures, including reconciliations to comparable GAAP measures. While not recognized under GAAP, management believes these non-GAAP financial measures provide investors with relevant period-to-period comparisons of core operations. However, they should not be considered in isolation or as a substitute for a measure of financial performance prepared in accordance with GAAP. Now I’d like to turn the call over to Michael Burger.
Michael Burger: Thank you, Mike. Welcome to our call. Improving fourth quarter demand driven by strength in our laser scanner and European markets, along with the addition of a full quarter of GeoSLAM, resulted in revenue for the quarter of $103.9 million, up nearly 4% year-on-year despite strong currency headwinds. On a constant currency basis, Q4 revenue was $110.5 million, up approximately 10% year-over-year. Following September’s launch of our new Vantage MAX tracker, I am pleased to report that all three of our major hardware product lines have now been refreshed with new products. With our new laser scanner gaining global adoption, we believe the hardware success we have seen thus far validates our customer-driven approach to product definition. We look forward to discussing future product releases in the quarters to come. Beyond our internally developed products, the integration efforts of our recent acquisitions are executing to plan. Following September’s acquisition of GeoSLAM, we are pleased with the partnership that is developed quickly. Their mobile scanning roadmap is robust and we expect a significant new product launch later this year. As a reminder, GeoSLAM’s flexible, low-cost handheld mobile scanning portfolio closes the gap in our standing lineup. We anticipate these products will address several applications within FARO’s traditional AECO and public safety customer base. GeoSLAM’s products have historically targeted the geospatial and mining markets, primarily through an indirect channel. We believe we now have meaningful cross-selling opportunities in front of us. In the fourth quarter, we further expanded our capture technology portfolio through the acquisition of SiteScape, a leader in iOS-based LiDAR scanning. By enabling LiDAR scanning capabilities inherent in recent generations of iOS devices, we bring the power of potentially millions of devices into FARO’s cloud environment, Sphere. Given the limitations on range and speed of capture, we don’t expect iOS scanning to replace or cannibalize existing scanning technologies within our portfolio. It does however provide a simple and readily available option for customers to address scanning gaps in larger projects within the AECO and public safety applications. By augmenting FARO’s existing high-precision leading-edge capabilities with offerings such as mobile scanning, 360-degree photo and video capture as well as iOS-based LiDAR, we now offer the broadest set of 3D capture devices in the market. This unique capability enables FARO’s construction and facilities customers to optimize their capture methods to their scanning application and need. As we integrate these various capture capabilities into FARO’s Sphere, we will enable cloud-based access to 4D models from all of our available capture devices onto a single coordinate system. This unique and differentiated offering will provide FARO customers with unprecedented flexibility along the ease of use and accuracy continuums. Early feedback on the integration and integrated viewing and usage of 3D data capture using FARO’s broad set of capture devices has been strong. We believe the market potential for digitizing the physical world is enormous and we are uniquely positioned to offer the best 3D solutions that will enable increasing levels of long-term adoption. This is a key differentiator for FARO and we look forward to sharing our progress through 2023 and beyond. I will now turn the call over to Allen to provide an overview of our fourth quarter financial results and first quarter guidance.
Allen Muhich: Thank you, Michael and good afternoon everyone. Fourth quarter revenue of $103.9 million was up nearly 4% compared with the fourth quarter of 2021. With roughly 60% of our revenue impacted by U.S. dollar FX rates, our fourth quarter revenue on a constant currency basis was $110.5 million, up 10% year-over-year. Driving this result was primarily the solid increase in demand for our Focus Premium scanners, a meaningful improvement in our performance in European markets and the addition of GeoSLAM revenue following our September acquisition. On an actual currency basis, when compared to last year, fourth quarter hardware revenue of $70.3 million was up 9%. Software revenue of $12.9 million was down 5% and service revenue of $20.6 million was down 6%. Recurring revenue of $18.1 million was up 10% when compared to Q4 of 2021, primarily due to growth in our cloud-based software offers. Hardware revenue on a constant currency basis was $75.8 million, up 17% year-on-year and is a strong indicator of our new product customer adoption. As we discussed in prior quarters, we have seen a modest flattening of overall software revenue as we convert customer purchases of previously perpetual licenses to subscriptions. On service revenue, the lower 2020 and 2021 hardware unit shipments compared to earlier years have reduced the installed base of products eligible for our service offerings that when combined with the meaningful product quality enhancements we’ve made over the last 18 months has resulted in continued lower service revenue. Similarly, but with the opposite effect, as 2022’s higher unit shipments come off warranty, we would expect to see service revenue pick up later in 2023 and into 2024. GAAP gross margin was 49.1% and non-GAAP gross margin was 52.8% for the fourth quarter of 2022. Our global footprint for both customer revenue and internal operating expenses results in a relatively effective natural hedge that has limited the overall year-to-date profitability impact of recent and unprecedented FX changes. That said, the relative strengthening of U.S. dollar exchange rates over the past year have adversely impacted reported gross margins by nearly 350 basis points when compared to the success model we set in early 2020. And while unfavorable material costs have predominantly been offset by price increases until FX rates normalize, we expect to operate below our targeted gross margin range. As supply chain conditions continue to normalize, we expect to realize approximately $12 million in annualized material cost savings as we reposition our supply chain to lower cost providers in Southeast Asia. As a result, we remain committed to our long-term success model, which for gross margin targets 55% to 60% of revenue. GAAP operating expenses were $52.7 million and included approximately $4.3 million in acquisition-related intangible amortization and stock compensation expenses and $2.6 million in restructuring and other transaction costs. Non-GAAP operating expense of $45.8 million was $1.6 million higher than Q4 of 2021 due primarily to the inclusion of GeoSLAM operating expenses, which more than offset the benefit we experienced as a result of strengthening U.S. dollar exchange rates. GAAP operating loss was $1.6 million in the fourth quarter of 2022 compared with an operating profit of $3.9 million in the fourth quarter of 2021. Non-GAAP operating income was $9.1 million in the fourth quarter of 2022 compared to $11.7 million in the fourth quarter of 2021. Adjusted EBITDA was $11.7 million or 11.3% of sales. Our GAAP net loss was $2.2 million or $0.12 per share. Our non-GAAP net income was $7.1 million or $0.38 per share for the fourth quarter of 2022 compared to net income of $8.7 million or $0.48 per share in Q4 2021. Our cash balance at the end of the quarter was $37.8 million with no debt. Included in our cash consumption during the quarter was inorganic investments we made in both SiteScape as well as a minority investment in technology targeting lower-cost lasers we have slated for coming years. We remain focused on reducing overall working capital levels with improvements expected in 2023. On January 20, after the close of the quarter, we placed $75 million of 5.5% convertible senior notes, including the underwriters’ option to purchase additional notes at a strike price of $42.36 which represents a 20% premium to FARO’s closing stock price on January 19. The net proceeds from the offering was approximately $72.2 million, which will be reflected in our March 31 balance sheet reporting. Given relatively high interest rates, we expect to invest a portion of proceeds in short-term treasuries that will offset some of our interest expense. In addition, we are aggressively integrating the recent acquisitions of HoloBuilder, GeoSLAM and SiteScape. As a result, in the first quarter, we are announcing an integration plan, which includes the consolidation of our three cloud-based environments as well as the rationalization of our facilities footprint and incremental expense savings. We expect these actions to offset a portion of the inflationary expenses we’ve experienced over the past few quarters as well as some of the expected increase in reported expense levels associated with continued normalization of FX rates. Taken together, we expect to incur $10 million to $16 million in charges through the end of 2023, split roughly evenly between cash and non-cash. Once complete, we anticipate an approximate $10 million reduction in annualized operating expenses that will maintain expense levels modestly higher than reported in 2022, given the expected and offsetting expense headwinds of inflation, FX and variable compensation plans. Moving on to guidance. In the first quarter, we expect revenue of between $81 million and $89 million, which assumes a constant exchange rate from current levels. If the U.S. dollar were to further strengthen or weaken during the remainder of the quarter, we would experience a corresponding headwind or tailwind to reported revenue levels. We expect a non-GAAP loss per share of between $0.02 and $0.22. Before closing and based upon feedback from many investors about March 2023 travel challenges, we have made the difficult decision to postpone our previously announced Analyst Day. We continue to have a strong desire to share our progress and provide a hands-on experience for investors to see our virtualization tools. We will be looking for a date in the future that is more suitable to ensure greater investor participation, given the meaningful distraction, effort and investment necessary to successfully pull off such an event. In closing, and notwithstanding the recessionary concerns echoing throughout the macro environment, our opportunity funnel remains strong. We are increasingly excited about the building momentum in our business and remain committed and optimistic about executing on our long-term vision of digitalizing the physical world. That said, we are actively monitoring demand signals to ensure alignment with spend levels and will adjust should future conditions warrant. The pace of our product announcements, both hardware and software are accelerating, and we expect to continue providing increasing levels of value from 4D virtualized models to our customers throughout 2023. We look forward to sharing our progress with you in the quarters ahead. This concludes our prepared remarks. And at this time, we’d be pleased to take any of your questions.
Operator: [Operator Instructions] And we will take our first question from Greg Palm with Craig-Hallum Capital Group. Your line is open.
Greg Palm: Thanks. Good afternoon. Thanks for taking the questions.
Michael Burger: Hey, Greg.
Greg Palm: Starting off with – hey, wanted to start with some comments on geographic results because that’s kind of what stood out to us really, really surprising strength in Europe. And maybe likewise not as strong results in APAC. And so maybe you can just dive into those specific regions a little bit more?
Michael Burger: Yes. I think APAC was not a surprise. I think we – APAC has actually been on a tear here for the last year for us. So we’re not necessarily overly disappointed. The opportunity funnel in Asia continues to grow. And I think it was more timing of some of the bigger deals that just kind of got pushed into future quarters. Europe took us all by surprise. We saw a resurgence, a large resurgence in the AEC space. And we had a couple of big public safety deals close, so in general, a very nice surprise. And as you know, you and I have been talking about this now we’re over a year. And Europe has been, I think, depressed for us. And so it’s great to see it back where I think it belongs and we’re excited, not just from a revenue and booking perspective, but their opportunity funnel also took a very nice turn. So I think we’re feeling pretty good. And I think it’s a testament both to the AEC market and also now our position in that with our new scanner.
Greg Palm: Yes. Makes sense. It’s helpful color. If I could just shift gears a little bit to the cost savings program, Allen, I might have you repeat a little bit of what you said because I couldn’t write it down fast enough. But can you just go through what the potential cost savings are? And I’m not sure if what you were alluding to was there is going to be a sort of a pickup in expenses. And so these savings are expected to offset or whether we’ve already seen some of that pickup and the savings will offset that going forward. So maybe just a little bit more color there?
Allen Muhich: The areas – sure, Greg. The areas where we are expecting to see some benefit. And again, we outlined $10 million of annualized expense savings that will be feathered in kind of throughout 2024 is predominantly a focus on finalizing the integration of the three acquisitions that we’ve done over the last 1.5 years. We have three cloud-based environments today that we’re supporting. We really only need to have that we won and therefore, there are some expense savings associated with that. Given the remote and hybrid work environments that we’ve adopted, our facilities are underutilized and therefore, we have an opportunity to consolidate those facilities into smaller square footage, frankly. And those also, again, will feather in over 2023. And then finally, we’ve always got some tweaking of expense and investment levels around the edges that I think will also help contribute to that $10 million. As it relates to when we will see it and where we expect expenses to level in, some of that will depend, of course, upon where currency rates normalize to. At today’s FX rates, we would expect that expenses in 2023 remain about where they are or where we reported them, maybe just a touch higher than where we reported them in 2022. Taking into account the savings, taking into account inflationary pressures, variable compensation plans, merit increases for employee base, all of those things somewhat net themselves out.
Greg Palm: Okay, that makes sense. And then just lastly, any additional purchase accounting impacts that we should be taking into account either here for Q1 or fiscal ‘23?
Allen Muhich: No.
Greg Palm: Okay. Alright. I will leave it there. Thanks.
Allen Muhich: Thanks, Greg. Appreciate it.
Operator: And our next question comes from Rob Mason with R. W. Baird. You line is open.
Rob Mason: Yes. Good evening.
Michael Burger: Good evening.
Rob Mason: I wanted to ask just about if you could just speak, Michael, to how – it sounded like the AEC markets, public safety performed better than the 3D metrology just that was my impression. If you could just maybe clarify how those individual markets performed in the fourth quarter, maybe what you’re seeing into the first quarter?
Michael Burger: Yes. I think AEC kind of on a global basis was a very nice surprise. And we did see – we saw a significant bump as we talked about in Europe, but it was strong in North America and Asia alike. Public safety, we actually had our largest booking quarter in the history of public safety for us. And we feel really excited about that. I think 3DM, I wouldn’t say it was down. Frankly, overall, we felt really good about the quarter in general. It just – it wasn’t up as much as what we saw in public safety and AEC. And I would argue that that’s a combination of nice market activity, but I also believe the adoption of our new Focus Premium scanner is exceptional. And we have, in Q4, booked our largest number of units for scanner in the history of the company. So, all based on the strength of the Focus Premium. So I think we’re pretty excited about what that says.
Allen Muhich: The only other thing I might add related to the 3D metrology space is last year was a bit of a difficult compare for us because we had very strong performance with our next-generation Quantum Max Arm in Q4 of 2021. And so that’s why, for us, it felt like things were continuing on nicely. But then when you do the year-on-year compare...
Michael Burger: Yes, I think that’s ...
Allen Muhich: Challenging.
Michael Burger: That’s exactly right.
Rob Mason: How would you characterize just the sales cycle, the order cycle again as we came through the end of the year? Did you notice any changes, shifts in the ability to close orders deals?
Michael Burger: No, actually not. I think we have been relatively pleasantly surprised with the funnel growth, and it’s now continued now for probably two and a half quarters, and that bodes well for us. And by the way, it goes against everything we’re reading, right, in terms of what’s happening in the end marketplace. So we’re cautiously optimistic. And I think Al said in his prepared remarks, we continue to kind of watch this. But it still looks quite positive. The sales cycle in terms of length of closing deals in terms of capital approval cycles, we didn’t see a significant change from Q3 to Q4.
Rob Mason: It sounded like, again, you noted public safety largest booking quarter that you’d had. Is that product that will ship in ‘23? Or did some of that – it sounded like some shipped anyway in Q4, but I’m just curious what you carry over. And then maybe just a broader comment on how backlog finished the year and did that come down as supply constraints alleviated or just maybe how that trended? Thank you.
Michael Burger: Let me start with the backlog. We effectively started with the – we ended Q4 with pretty much the same backlog we started it with. So, we had relative very strong bookings overall. We haven’t talked about that, but strong bookings and that kept the backlog in the Q1 quite healthy. So, we are feeling good about that. Your first question was what, I am sorry, Rob?
Rob Mason: Just the large public safety booking that you referenced, is that a 2023 shipment, or did we already shipped that?
Michael Burger: We shipped quite a bit of it within quarter. And as I mentioned, backlog quarter-on-quarter for the companies was flat in terms of what we started Q4 with and what we are now starting in Q1. Some of that is public safety. But I don’t think a disproportionate number. I think we shipped a large portion of what we booked in Q4.
Rob Mason: Just one quick one and I will hop off. Allen, how are you – how should we model the net interest expense in the first quarter as a partial quarter for the convert offering and not sure when you are investing the cash, but I am just curious what’s embedded in the guidance around that?
Allen Muhich: Yes. What’s embedded in the guidance is, again, we closed the transaction on the convert in the third week of January. And so we will have 75 million times 5.5% over that time – over the balance of the quarter. There is also some amortization of fees and fees that are needed to be buried in there as well. And so we have assumed that. And those fees, I believe are just a bit shy of $3 million that will be amortized over the 5-year term. And then we would expect to invest somewhere in the $30 million to $40 million range is kind of the current thought process for the final month of the quarter. And therefore, you should expect to see whatever T-bills are somewhere in the 4%, 4.5% range of interest income to offset. Hopefully, that gives you the pieces you need.
Rob Mason: Excellent. Yes, it does. Thank you.
Michael Burger: Thanks Rob.
Operator: And our next question comes from Andrew DeGasperi with Berenberg. Your line is open.
Unidentified Analyst: Hi. This is Stephanie, I am on for Andrew. My first question is about recurring revenue and how we should think about the recurring software and services getting towards that 25% of revenue and whether these integrations of the acquisitions will change that in any way?
Michael Burger: So, first of all, I don’t believe that the integration of the cloud-based environments will affect that trajectory at all. And so the recurring revenue component, I think will continue to grow and continue to be an increasing level of our overall revenue. It’s a focus area of ours. As you know, recurring revenue for us is both the software components as well as there is some repair contract revenue that’s in there as well that’s being somewhat blunted today. So, as we continue to grow our hardware revenue, that ultimately positively affects recurring revenue, as we indicated in our prepared remarks, towards the end of 2023 into 2024. And therefore, again, as we also continue to make investments in our SaaS-based cloud applications that will drive increased levels of software revenue through recurring revenue and therefore still believe strongly that we will be able to achieve the 25% objective that we have thrown out there. The only reason why we might not is if hardware revenue continues to grow nicely, and then we end up with a good problem that both of those revenue streams are growing. But right now, we see differentiated growth.
Unidentified Analyst: Okay. Thank you. It makes sense. And one more question on your recent acquisition of SiteScape. If you could just elaborate a little bit on the market and competitors and whether this will require investment on your part in the near-term or longer? Thank you.
Michael Burger: The answer is yes. It will require investment. We had a plan internally to develop this capability organically and the opportunity with SiteScape came up and we jumped at it. I think this will be integrated and not necessarily affect the overall software spend at the rate that we are currently talking to. So, it’s inculcated into our plan and our model. So, I think you should feel comfortable with that. I think the market itself is massive. SiteScape, however, was very much focused on consumers and I would argue, for a lack of better term hobbyists. And what we are doing is taking this low resolution LiDAR capture capability and really inculcating it into Sphere and then really focusing it on our current markets, which are AEC and ultimately, public safety. And so we are taking a technology that’s been proven in the consumer world and now applying it very much to our strategy. So, we don’t see a change our direction or our strategy or our focus from a market perspective, but it does accelerate our roadmap and it does accelerate our technologies.
Allen Muhich: Stephanie, just one comment to confirm as well. The revenue contribution from SiteScape is very, very immaterial.
Michael Burger: Yes.
Allen Muhich: And therefore, think about it more as a technology acquisition as opposed to a market or revenue expansion.
Unidentified Analyst: Got it. Thank you. That’s helpful.
Michael Burger: You’re welcome. Thank you, Stephanie.
Operator: [Operator Instructions] And we will take a question from Ben Rose with Battle Road Research. Your line is open.
Ben Rose: Good afternoon Allen and Michael. Good. Michael, a question for you, in addition to – you had mentioned that there were separate cloud platforms for some of these recent acquisitions. Are there other integration tasks that need to be done beyond kind of harmonizing around one cloud platform?
Michael Burger: Yes. I think there is always – we are integrating the GeoSLAM hardware engineering organization into our current hardware engineering organization, which is going extremely well. And there are always G&A sides of that. There are IT projects. There are all kinds of – kind of behind the scenes, so we don’t spend a lot of time talking about tasks that need to be done when you integrate companies the size of GeoSLAM. SiteScape is a relatively small company with very – with few employees. And so that integration, I would argue, is already complete. HoloBuilder was roughly the size of GeoSLAM from a population perspective, and that’s pretty much behind us as well. So, GeoSLAM is probably the largest task we have got in place right now. But when we bought SiteScape, when we bought HoloBuilder and before we bought them, we were developing our own cloud-based environment. That’s really what we are alluding to when we say three cloud environments. And that’s a big task because, frankly, there is customers in each of those environments, they are using, in some cases, different service providers. And their APIs, the way they actually interface with the cloud is different. So, there is a lot of development that has been going on. We are just announcing it this quarter.
Ben Rose: Okay. And just a follow-up question with regard to the strength in the AEC market in Europe, how much of it would you say is sort of a general bounce back in the economy versus other things that might be going on in terms of product acceptance or perhaps changes in the competitive environment?
Michael Burger: Yes. It’s a great question. I wish I had a real finite answer for you, but I don’t. What we saw in the quarter was a great pull from our customer base on projects that we have been tracking. And frankly, we had seen many of these projects continue to be pushed quarter-to-quarter. And I think actually, you and I have talked about this in the past. So, I believe that it was somewhat market-driven because, frankly, a lot of the projects were not pushed into the following quarters, but actually did close in Q4. That could be very much around capital budget flush, if you don’t spend it, you lose it. And we see that occasion – we see that actually every year. But we haven’t seen that in the AEC market through 2020 and 2021, and I think largely because of COVID-related issues. So, it’s good to see the budget flush. And so we did see that. But I do believe it’s hard to really distinguish between budget flush and the adoption and excitement around the new scanner, which is absolute. So, it’s positive. The projects are closing. And as I mentioned, we had our highest booking quarter for scanner in the history of the company.
Ben Rose: Great. Okay. That’s very helpful color. Appreciate it.
Michael Burger: You’re welcome Ben. Thanks for your question.
Allen Muhich: Thanks Ben.
Operator: And it appears we have no further questions at this time. I will turn the program back to Michael Burger for any closing remarks.
Michael Burger: Thank you very much for attending. We are very pleased with the quarter, and we are actually really excited about what the future holds. Thank you very much. We will talk to you next quarter.
Operator: This does conclude today’s program. Thank you for your participation and you may disconnect at any time.